Operator: Good day, and thank you for standing by. Welcome to the first quarter 2025 Quanex Building Products Corporation Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during this session, you will need to press star one one on your telephone. Then hear an automated message advice and raise withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Scott Zuehlke, Senior Vice President, CFO and Treasurer. Please go ahead.
Scott Zuehlke: This conference call will contain forward-looking statements and some discussion of non-GAAP measures. Forward-looking statements and guidance discussed on this call and in our earnings release are based on current expectations. Actual results or events may differ materially from such statements and guidance and Quanex Building Products Corporation undertakes no obligation to update or revise any forward-looking statements to reflect new information or events. For a more detailed description of our forward-looking statement disclaimer, and a reconciliation of non-GAAP measures, to the most directly comparable GAAP measures please see our earnings release issued yesterday and posted to our website. I'll now turn the call over to George Wilson for his prepared remarks.
George Wilson: Thanks, Scott, and good morning to everyone joining the call. Before I begin my commentary, I want to take a moment to acknowledge Curt Stevens for his many years of dedicated service on Quanex Building Products Corporation's Board of Directors. Curt's expertise in the building product space combined with his financial background, added immense value to our board. His leadership in chairing the audit committee for many years has been instrumental to our business. On behalf of the entire Quanex Building Products Corporation team, I want to thank Curt for his service and wish him all the best in his retirement. Turning to the first fiscal quarter of 2025, our results align with expectations despite significant macroeconomic uncertainties in the challenging winter weather environment in the U.S. Year-over-year improvements in both revenue and earnings were largely driven by the contributions related to the acquisition of Timon. Since the acquisition closed last August, our focus has been on integrating the two companies. Our primary objectives are to achieve or exceed the expected financial synergies from the transaction and to establish an organizational structure that both supports our current business and provides a scalable platform for future growth. From a synergy perspective, I'm pleased with the progress our team has made and remain confident we will meet our publicly announced target of $30 million in run rate synergies by the end of year two. We are also working diligently to identify additional synergies and explore opportunities to accelerate the realization. We look forward to providing a more detailed update during our second quarter call. Regarding organizational design and as outlined in our recent investor presentation, we will be resegmenting our business into three new units: Hardware Solutions, Extruded Solutions, and Custom Solutions. Each of these segments will have a global scope and is designed to better serve our existing customers, support new product development, explore adjacent markets, and drive margin improvement through operational excellence and the sharing of best practices. This change will involve significant work from a public reporting perspective, and our team is focused on ensuring that we can report results in these new segments as soon as practical later this year. Looking at the markets, as I mentioned earlier, our first quarter results were in line with expectations. We have returned to our typical seasonal order cadence with a relatively softer Q1 due to holidays and weather. Outside of this normal seasonality, demand has been impacted by uncertainties surrounding future Fed interest rate movements, and week-to-week changes regarding potential tariffs. We believe both factors have negatively affected consumer confidence. Likewise, conversations with our customers reflect the general sentiment of caution regarding new projects. However, the benefit of Quanex Building Products Corporation is that we have proven our ability to respond quickly to changes in demand both up and down. As for tariffs, the situation remains fluid and unpredictable. However, we are confident that the efforts of our supply chain team over the past three years have positioned us to localize supply in most cases, which we believe will minimize the potential impact on Quanex Building Products Corporation and our customers. Where tariffs do apply, we are actively engaging with customers on pricing mechanisms and exploring continuous operational improvements to offset their impact. These efforts combined with our synergy progress give us confidence in reaffirming our full-year earnings guidance. Operationally, I'm very pleased with our performance and the improvements we've already seen as part of the integration process. We achieved record safety performance in the first quarter along with improvements in service and quality metrics. These gains are the results of sharing best practices between legacy Quanex Building Products Corporation and Timon teams as well as the benefit of migrating to our new operating segments. Moving forward, our operational focus will remain on safety culture, employee engagement, working capital improvements, and optimizing return on net assets to maximize our cash flow generation. Regarding the use of cash flow to generate the best shareholder returns, we will focus on paying down debt and repurchasing our stock in an opportunistic manner. So in summary, while short-term market headwinds persist, the Quanex Building Products Corporation team continues to perform well. The anticipated benefits of the Timon acquisition are coming to fruition as we expected. We look forward to continuing our integration efforts and providing updates on our progress throughout the year. I'll now turn the call over to Scott Zuehlke who will discuss our financial results in more detail.
Scott Zuehlke: Thanks, George. On a consolidated basis, we reported net sales of $400 million during the first quarter of 2025, which represents an increase of approximately 67% compared to $239.2 million for the same period of 2024. The increase was primarily driven by the contribution from the Timon acquisition that closed on August 1, 2024. Excluding the Timon contribution, net sales would have declined by 6.2% for the first quarter of 2025, largely due to lower volume. We reported a net loss of $14.9 million or $0.32 per diluted share during the three months ended January 31, 2025, compared to net income of $6.2 million or $0.19 per diluted share during the three months ended January 31, 2024. On an adjusted basis, net income was $9 million or $0.19 per diluted share during the first quarter of 2025, compared to $8.4 million or $0.25 per diluted share during the first quarter of 2024. The adjustments being made to EPS are as follows: amortization of step-up for purchase price adjustments on inventory, transaction advisory fees and reorg costs, restructuring charges related to severance and disposal of software, amortization expense related to intangible assets and a pension settlement refund, and other net adjustments related to foreign currency transaction gain/loss and effective tax rates. On an adjusted basis, EBITDA for the quarter essentially doubled to $38.5 million compared to $19.3 million during the same period of last year. This equates to adjusted EBITDA margin expansion of approximately 150 basis points year-over-year. The increase in adjusted earnings for the three months ended January 31, 2025, was mostly attributable to the contribution from the Timon acquisition combined with the realization of cost synergies. Now for the results by operating segment. We generated net sales of $134.3 million in our North American Fenestration segment for the first quarter of 2025, a decrease of 9.2% compared to $148 million in the first quarter of 2024. We estimate that volumes in this segment declined by approximately 8% year-over-year with pricing up approximately 1% versus Q1 of 2024. Adjusted EBITDA was $11.6 million in this segment for the first quarter, compared to $13.7 million in the first quarter of 2024. Our European Fenestration segment generated revenue of $48.5 million in the first quarter, which represents a decrease of 2% compared to $49.4 million in the first quarter of 2024. However, after adjusting for foreign currency, revenue was basically flat. We estimate the volumes were down approximately 1% year-over-year in this segment for the quarter with pricing up approximately 1% and the negative foreign exchange translation impact of about 2%. Adjusted EBITDA declined slightly to $9.9 million in this segment for the quarter versus $10 million during the same period of last year. This means that adjusted EBITDA margin improved by 30 basis points year-over-year in this segment. We reported net sales of $43.8 million in our North American Cabinet Components segment during the quarter, which represented growth. We estimate that volumes declined by approximately 3% and price increased by approximately 5% in this segment for the quarter. This price movement was largely related to index pricing tied to hardwood costs. Adjusted EBITDA was negative $873,000 in the segment for the quarter compared to negative $732,000 for the first quarter of 2024. Decreased operating leverage due to soft volume was the reason for the lower profitability in this segment. Timon business reported net sales of $175.7 million for the first quarter of 2025. Since we did not own this business in the first quarter of 2024, there is no comp in the earnings release. However, revenue was down approximately 8% in this segment in the first quarter of 2025 compared to the first quarter of 2024, mostly due to soft market demand, which is consistent with what we saw in the legacy Quanex Building Products Corporation business. Adjusted EBITDA came in at $19 million for the quarter, which yielded margin expansion compared to Q1 of 2024, driven largely by cost synergies related to closing Timon's legacy home office in London. Moving on to the cash flow and the balance sheet. Cash used for operating activities was $12.5 million for the first quarter of 2025, which compares to cash provided by operating activities of $3.8 million for the first quarter of 2024. The first quarter was impacted by layering in the Timon acquisition as the legacy Timon business is very much make-to-stock versus legacy Quanex Building Products Corporation business is very much make-to-order. Free cash flow was negative for the quarter, which is not abnormal due to the seasonality of our business, combined with one-time items related to integration costs and achieving the cost synergies we have targeted. As a reminder, to acquire Timon in August 2024, we borrowed a total of $770 million through a $500 million term loan A and drawing $270 million on our revolver. Since that time, we have been able to repay $65 million in debt. As of January 31, 2025, the leverage ratio for our quarterly debt compliance was 2.2 times. The debt covenant leverage ratio is defined in amendment number one to our second amended and restated credit agreement which was filed with the SEC on June 12, 2024. This debt covenant leverage ratio excludes real estate leases that are considered finance leases under U.S. GAAP and is calculated on a pro forma basis to include last twelve months adjusted EBITDA from the Timon acquisition, $30 million of EBITDA for the synergy target related to the acquisition, and cash only from domestic subsidiaries. The debt covenant leverage ratio would be 2.1 times if calculated using the full cash and cash equivalents amount on the balance sheet as of January 31, 2025. As noted in our earnings release, based on year-to-date results, combined with our operational execution, conversations with our customers, recent demand trends, and the latest macro data, we are reaffirming net sales guidance of approximately $1.84 to $1.86 billion and adjusted EBITDA guidance of $270 million to $280 million for fiscal 2025. From a cadence perspective, on a consolidated basis for the second quarter of this year, versus the first quarter of this year, we expect revenue to be up 9% to 11% and we expect adjusted EBITDA margin expansion of 350 to 400 basis points. Operator, we are now ready to take questions.
Operator: Thank you. At this time, we'll conduct the question and answer session. As a reminder, to ask a question, you'll need to press star one one or enter the star one one again. Please standby while we compile the Q&A roster. And our first question comes from the line of Reuben Garner of Benchmark. Your line is now open.
Reuben Garner: Thank you. Good morning, guys.
Scott Zuehlke: Morning. Good morning.
Reuben Garner: I was hoping you could talk about the progress of margins you're expecting for the rest of the year in specifically, Scott, on the gross line, the last two quarters kind of in the low to mid-twenties range and the guide for the year is I believe, closer to twenty-nine. So it pretty big step upcoming. Is that just seasonality in time? And can you just kinda walk us through the components to get there?
Scott Zuehlke: Yeah. That has everything to do with the PPA step-up related to the acquisition, which hit in Q4 and ran off in Q1. So the rest of the year, gross margin should be jumping up meaningfully to hit that full-year guidance. Improving each quarter.
Reuben Garner: Okay. And then can you can you talk about the divergence you're seeing in the kind of growth rates between the cabinets business and the penetration business and in North America kinda went opposite directions in the quarter. Does that tell us that, you know, how big of a role weather might be playing or any other kind of factors going on?
George Wilson: Well, I think the weather had a big piece to play in it, especially with the window and door market. A much harsher winter in most of the country. I think, did have an impact on demand in our fiscal Q1. And that's why you saw a little better performance in terms of volumes in the cabinet side of the business. I also think, you know, what we had seen is that that cabinet segment had been hit harder sooner, and that that kind of been a leading indicator and we always see the cabinets drop faster and sooner on than the window and door markets, and they tend to lead on the improvements in those segments as well. So nothing that we haven't anticipated or expected.
Reuben Garner: Okay. I'm gonna sneak one more in kind of a big picture question about your confidence level and your outlook and, I guess, just the maybe, the change in tone now versus a month ago? Or are you feeling less confident in the mark this kinda full-year guidance type numbers? Because it seems like you would need an improvement in the end market at least to get to the top line outlook.
George Wilson: Yeah. You know, I think it goes back to what we said in the fourth quarter. I think some people were surprised on our call or questioned maybe our conservative approach, but I think we've had a realistic view of this year from day one, and nothing has changed for that. So for us, yes, the back half of the year shows some improvement, but that's really based off of what we currently see and the normal seasonality of our business. So we feel really good about where we're at in terms of our projections. In addition, I feel extremely confident about the work that we're doing with Synergy. So I think we feel very comfortable both the revenue and our earnings guidance for the full year based on those items.
Reuben Garner: Great. Thanks, guys. Good luck.
George Wilson: Thank you.
Operator: Our next question comes from the line of Steven Ramsey of Thompson Research Group. Your line is now open.
Steven Ramsey: Good morning. I wanted to maybe ask a follow-on question to the guidance outlook and kind of the second half improvement that's part of that. I guess, first, if you need that second half improvement to get to that full year, level, is there certain segments maybe that are greater drivers to get there? And then maybe secondly, just high level your full-year outlook maybe seems more optimistic on an order of magnitude basis maybe than the window cabinet producers that shared their outlook. So maybe I'm curious on those two fronts, how you think about those things.
Scott Zuehlke: Yeah. I mean, in general, what I would say is the way we forecast the business from a low watermark in one to high high in Q3 and Q4 is just typical seasonality. There's nothing different that we're expecting this year than any other normalized seasonality for this year. So that's what gives us some confidence that we will see an uptick in the second half just because of seasonality. Anything above that would be in addition to what we've already forecasted.
George Wilson: And I think to reiterate my answer to Reuben as well, I think we were more conservative when we came out with guidance in the December year-end conference call than most people were. So I think our approach in December was to be very realistic conservative than others. In our view of this year. And I think that that's coming to fruition. So for us, nothing that we didn't anticipate. And to answer your other question, Steven, I think in terms of the segments, I think we see more seasonality in the window and doors than we do in cabinets. So I think, you know, we will tend to see more of a pickup from the Timon piece of our business and what we would consider our NAF segment versus the European business, which is less seasonal. And our cabinet business, which has a different seasonality.
Scott Zuehlke: Yeah. And just one more couple data points that we went over in the investor day, but it's probably important to reiterate. If you look at the five-year average for free cash flow and adjusted EBITDA, we typically generate about 10% of our free cash flow in the first half with the remaining 90% in the second half and then about 40% of adjusted EBITDA in the first half with 60% in the second half. Rough numbers. I mean, just shows you how seasonal our business really is.
Steven Ramsey: Okay. That's great, Tyler. Thanks for sharing all that. Maybe to continue the cash flow, and cash flow usage topic, your debt pay down aggressive and working nicely. You repurchased some stock in the quarter as well. I'm curious how you think about putting capital to work on each of those pads through FY 2025. I get your opportunistic, but maybe share some of your nuance perspective on how you're choosing to deploy capital into those two areas.
George Wilson: Yeah. We obviously analyze it every day, every week as we go on. You know, just being very direct here that I would think where we're trading at today, you know, we feel like directing a large portion of our cash flow to repurchase in our stock at these levels absolutely becomes a priority. So I think, you know, a lot of it depends on the market. We do not have any sort of dent ten b program so we have limited time to be in the market. But, at these levels, I would say that the priority will probably be share buyback versus debt repayment. And depending on cash flow, we'll evaluate that each and every week.
Steven Ramsey: Alright. And then last quick one for me. Good to hear that the synergy target and timeline is intact. And you said that you would have more details on the next call. But maybe just high level thinking about the three new segments that you will have. Or is any one of those maybe an outsized beneficiary of the synergies you execute on or another way of asking, do any of the three segments new segments, have better margin expansion potential over the next couple of years?
George Wilson: You know, we broke down our synergies really into three buckets. You had the corporate cost, which really do not benefit any sort of segment. That'll be applied equally over all the segments on an allocated basis. You had the head counts in that will that was primarily North American, the overlap between our North American businesses between Timon and Quanex Building Products Corporation were very similar. So that will be probably a little more weighted towards hardware versus and some to the extruded solutions, and then finally, sourcing, which will be equally applied. So maybe a little heavier weighted towards hardware, and then to extruded, probably a pretty good summary would be broken down by how our revenue will be split, which was identified in that investor deck.
Steven Ramsey: Thanks for all the color.
George Wilson: Thank you.
Operator: One moment for our next question. Our next question comes from the line of Adam Thalhimer of Thompson Davis. Your line is now open.
Adam Thalhimer: Hey. Good morning, guys. Nice quarter.
Scott Zuehlke: Good morning. Good morning. Thanks. Thank you.
Adam Thalhimer: If you did see an impact from tariffs, which segment would that impact mostly?
George Wilson: You know, as we look at the commodity breakdown, what I would say in our new segments, it will probably impact the hardware business a little more direct because of their metal buys. In the aluminum. But again, we're protected with some of the index pricing mechanisms that we have here in the US and surcharges from the wood, again, hard work index. So, you know, I think it'll be balanced across all three, but maybe a little more heavily weighted to hardware.
Adam Thalhimer: Okay. And then, George, I was hoping you could give a little more color just on the conversations with customers and kind of their macro outlook.
George Wilson: Yeah. You know, all the conversations tend to focus around, you know, consumer confidence. And you know, it goes back to the macro question. There's a lot of noise in the media. The tariff and, you know, that changes on an everyday basis. And so there's unknowns on what the future cost to the end consumers are gonna be in both repair and remodel and new build type of projects. So I think our customers are apprehensive because there's not a lot of good visibility in what's going on, and there's really no good visibility on what the Fed's going to do. Nor is there a strong visibility on where the tariffs will shake out. I think customers are cautious and kind of on hold mode on in terms of where they're gonna go, and again, as we said in our script and has been proven over the last few years, from a Quanex Building Products Corporation perspective, our model is built to ramp up or ramp down fairly quick. So we feel good about where we're at and that we'll be able to adjust well, but, you know, until some of the tariff items and consumer confidence rebounds a little bit, I think, again, it's gonna be a bumpy year. As we originally anticipated and built into our guidance back in December. So again, we're not seeing anything that we didn't anticipate. But it's coming to fruition.
Adam Thalhimer: Got it. And then when does the buyback window open?
Scott Zuehlke: Two days after three days after earning. So I think Thursday this week.
Adam Thalhimer: Sounds good. Thank you.
George Wilson: Thank you.
Operator: One moment for our next question. Our next question comes from the line of Justin Machete of Sidoti and Company. Your line is now open.
Justin Machete: Good morning. This is Justin on for Julio. Thanks for taking questions.
Scott Zuehlke: Sure. Good morning.
Justin Machete: So in the first quarter, the Timon adjusted EBITDA margin of 10.8% when compared to the strong European segment margin seems a bit low. Anything notable to help us understand the difference between the two? And can you give us a refresher on Timon's historical seasonality?
Scott Zuehlke: Yeah. Very similar to our historical seasonality. You have to keep in mind that about 60% to 70% of Timon is North American focus. Which was one of the appeals of when we acquired them. So it's not a direct read-through to our European Fenestration segment.
Justin Machete: Thanks. And then the Jackson, Georgia facility was highlighted during your Investor Day. Beyond increasing regional capacity, how does this facility strengthen your competitive and what unique advantages do you expect it to bring?
George Wilson: So, you know, the decision to open the Jackson facility was phase one on being able to serve our regional customers. It absolutely capitalizes and protects our customers from freight costs to be able to serve that region. Two, it gives us an opportunity to add some additional capacity for our mixing and our compounding type of business, which will allow us to continue to grow in adjacent markets, such as flashing tapes and solar products. So, you know, it was a strategic decision on numerous fronts and we look forward to being able to deliver that. It was a long-term look for that project, and we're excited about what it can potentially deliver.
Justin Machete: Great. Thanks for the color there. That's all for me.
George Wilson: Thanks.
Operator: Thank you. I'm showing no further questions at this time. I'll now like to turn it back to George Wilson for closing remarks.
George Wilson: I'd like to thank everyone for joining today, and we look forward to providing you with another update when we report our Q2 earnings in June.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.